Operator: Good day, ladies and gentlemen, and welcome to the Cardtronics Fourth Quarter 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this conference call is being recorded. I would like to introduce your host for today's conference, Mr. Phil Chin, EVP, Corporate Development and Investor Relations. You may begin.
Phillip Chin - Cardtronics plc: Thank you. Good afternoon and welcome to Cardtronics fourth quarter conference call. On the call, we have Steve Rathgaber, Chief Executive Officer, and Ed West, CFO and Chief Operations Officer. We will start with prepared remarks by Steve and Ed and then take questions. Before we begin, a cautionary statement regarding forward-looking information. During the course of this call, we will make certain forward-looking statements regarding future events, results or performance. Any forward-looking statements made on this call are subject to risks and uncertainties included but not limited to those outlined in our reports filed with the SEC, including our Form 10-K for the year ended December 31, 2015 as amended, Form 10-Q for the quarter ended September 30, 2016 and other factors set forth from time to time in our other filings, including the definitive Proxy Statement filed on May 19, 2016. Actual events, results, performance may materially differ. The statements on this call are made as of the date of this call and based on current information even if subsequently made available by us on our website or otherwise. We assume no obligation to update any forward-looking statements made today to reflect events that occur or circumstances that exist after the date on which they were made. In addition, during the course of this call, we will reference certain non-GAAP financial performance measures. Our opinion regarding the usefulness of such measures together with the reconciliation of such measures is included in the earnings release issued this afternoon and available on our website. With that, I will turn the call over to Steve.
Steven A. Rathgaber - Cardtronics plc: Thank you, Phil, and welcome, everyone. My remarks today focus on the three key messages that I would like you to take away from this call. The first is simply that the fundamentals of our business remain strong. We've had another solid quarter that contributed nicely to another full year of double-digit top and bottom line growth when adjusted for currency movements. We've also had some meaningful business wins to close the year and set the stage for the future. Second message is this, the waiting is over. 2017 is here. The U.S. business of 7-Eleven will migrate away this year and we are ready. We have been working hard at building and executing a plan to be a better Cardtronics post the transition of the 7-Eleven business. We have made tremendous progress, but have more work to do. Ed and I will provide more insight in this area. The third takeaway is focus on the future of your company. As we enter next year, 2018, Cardtronics will still be the unique asset, a growth company you know, but we will also be a better company with unmatched scale, product and market reach. The secular trends in banking favor Cardtronics and we will be very ready to turn those trends into growth. Let's recap the quarter highlights. We had a strong finish to ATM retail placement contracts with nearly 900 new locations contracted this quarter, yielding total organic unit adds in 2016 of nearly 3,400. 3,400 new placement contracts places us in the middle of our target range of 2,500 to 4,000 new placement contracts per year. We continue to see FIs embrace Allpoint with a record quarter of 31 new FI signings, delivering 1.1 million cards in Q4 and bringing the 2016 full year total to 102 new FIs in the network with over 10.4 million cards. This is the most significant year of direct issuer sales growth that Allpoint has realized in its history. The recent trend of large FIs joining Allpoint, highlighted by the Fifth Third, Fifth Tennessee (sic) [First Tennessee], and now Citibank, reinforces the growth potential of this unique asset. I am delighted to announce that we secured a long-term renewal with the Canadian 7-Eleven business. It is accompanied by the renewal of the branding relationship with Scotiabank to continue for the Canadian 7-Eleven stores. In the UK, we had significant renewal of Shell Oil. In the U.S., we renewed and expanded our relationship with Walgreens, including Duane Reade. Our significant branding relationship with Citibank was transformed with an agreement to brand 1,900 ATMs across multiple retailers, including Walgreens, Duane Reade, and others, which will replace the branding with 7-Eleven. As already mentioned, Citi has elected to participate in the Allpoint Network, our third large financial institution in as many quarters to sign up. We like that trend. I also like it when existing customers want to expand their relationships with us and that happened twice this quarter. We expanded branding relationships with two top 25 FIs, BMO Harris and TD Bank. Early January was busy as well with two acquisitions closing. Cardtronics entered the South Africa market with 2,600 ATMs through the acquisition of Spark ATM Systems. And we completed the largest acquisition in our history with the closing of DCPayments. Now, the Competition and Market Authority is reviewing the United Kingdom portion of the acquisition and we will not be able to begin integration of the two UK businesses until that review process completes, which we understand could take several months. In Australia, the ACCC is also reviewing the acquisition by DCPayments of Cashcard. You may recall that that transaction completed the day before we acquired DCPayments. We will issue updates as the process unfolds for both reviews. Switching to a current event topic, some of you may have seen articles in the London newspapers over the last several weeks about challenges at the LINK network. A debate has arisen between banks and acquirers about the interchange fee structures that support the free-to-use network scheme prominent in much of the U.K. While something of an annual issue, it does seem to be a bit more intense this year. The net of all this debate for Cardtronics is as follows. We like the current model. It is a great value to the consuming public and we would like to see it continue. However, we operate in multiple markets with multiple models and always find a way to do well. In fact, we often do better in markets where we have more options to leverage. So whatever the outcome and it may well be no changes at all, we will adapt. Now to the second key message: 2017 has arrived and we are ready. We have been working to build the post 7-Eleven vision of Cardtronics for some time. Let's recap some of the activities that we've been focused on in preparation. Then, we will discuss some of the activities that remain to be completed. These activities are all in support of a single objective, using the challenge posed by the loss of this business to build a better Cardtronics. An early activity was executing the re-domiciliation. This step provided a platform for international expansion, placed us on an equal tax footing with global competitors, and has positioned us for stronger earnings as a result of a more favorable corporate tax rate in the UK. A second initiative was a series of de novo market entries in Europe. These markets, particularly Spain, are receiving significant investments. They have the potential to drive 10% to 25% of our new retail placement annual goal and all markets that we've entered are considered ripe for expansion of our financial institution offering, our evolving in-branch support model. Third: we entered South Africa through an acquisition. The acquisition of Spark ATM Systems delivers a well-positioned and well-respected provider in a marketplace with serious growth potential and on a confident with long-term growth potential. And it is a market where Spark ATM is already partnering with FIs to offer them ATM services that complement their branch deployment strategies. Now, we've also been quietly focused on renewals. Cardtronics has renewed a disproportionate share of its key accounts in the last several years creating stability in our base business. We are operating with our top contracts having a remaining average life that is longer today than at any time in the past three years. And we've not only acquired small, as I've already said, we've executed the largest acquisition in the company's history, DCPayments. The benefits of this transaction are many. We have refilled the synergy pipeline and are focused on delivering those synergies to the bottom line over the next two years. This transaction also makes us the scale player and the premier provider in both Canada and Australia. And it enhances our scale in the UK. It also makes us comfortably profitable in Mexico. One of the critical strategic gains of the acquisition is the automatic expansion of the financial institution in-branch servicing model. In Australia, we inherit the Bank of Queensland relationship. In Canada, we now operate the credit union finance institution business and an ATM as a service model for smaller institutions, providing us an instant customer base and product capabilities for this segment. This includes more than 50 credit unions and about 1,000 ATMs. Finally, we benefit from a great team of people. There is a great deal of talent in the DCPayments team that will be a terrific complement to our existing team. But we have been investing beyond acquisitions. We are making investments in product, talent, technology, and our new markets. We expect these investments to pay dividends in 2018 and well beyond. And there is still more work to do this year. Now, Cardtronics has historically been excellent at extracting the synergies from acquisitions. But in an acquisition intensive environment, and we have certainly been that, we have not paused to focus on process improvement until just this past year. I will let Ed update you on our efforts here, but the benefits are significant and should deliver upwards of $35 million in expense savings for the full year 2018. The outcome of all these efforts is simply a better Cardtronics designed for future growth. Now, let me address a few particulars around the actual transition of the 7-Eleven business. It is not an insignificant initiative to manage. As I stated earlier, we are pleased to be continuing as the ATM provider to 7-Eleven Canada under a long-term renewal. We are delighted to have not only maintained, but expanded the Citibank relationship through branding on other portions of our estate and also having added them to the Allpoint Network. Both the Citibank brand and the Allpoint brand will be removed from the 7-Eleven estate during the second half of this year. Ed will talk to guidance implications of that de-installation plan. Before I turn it over to Ed, some thoughts about the future of our company. At Cardtronics, we have been preparing for this transitional year for the last several years. Even before the announcement of the 7-Eleven decision two years ago to bring their ATM program in-house, we were on the road to the Cardtronics transformation, a transformation that included customer diversification and global diversification. Since that time, we have expanded into six additional countries through acquisition or organic efforts. We now operate in 11 countries and on 4 continents. We are uniquely positioned to combine our surcharge-free offerings with the management of in-branch ATMs to deliver a new way for banks to think about the ATM channel. We want to provide them a highly flexible service that can adapt to their needs and support their retail digital strategies, including branch transformation and branch closings. We want to eliminate the capital intensive and operationally complex burden that is no longer strategic for the bank, but absolutely necessary for their customers; namely, providing access to cash at an ATM. What we have conviction around is that once we are through this transition year, Cardtronics will be in a strong position to seize the growth opportunities that we see ahead of us, including retail ATM placements around the globe, growth of FI relationships with the Allpoint Network, and growth of FI relationships with our in-branch outsourcing solutions. And now, I would like to turn it over to Ed for an expanded look at the financials for the quarter and our guidance for 2017.
Edward H. West - Cardtronics Plc: Great. Thank you, Steve. And before I get into the quarter, let me provide some overarching commentary on the year ahead. As Steve mentioned, 2017 will be a transitional year for the company and one that is less apt to follow the same quarter-to-quarter pattern as previous years. Let me tick through a few of the items and which are mostly transitory in nature. First, regarding EMV and our U.S. fleet upgrade. We're in the middle of upgrading our company-owned fleet in the U.S. to be EMV capable and accept chip cards. This in and of itself is not extraordinary since we already process chip-enabled cards in other regions. What is extraordinary is the sheer scale in the U.S. In addition, for some time now, the company has planned on using the occasion of touching each one of our ATMs to also upgrade the operating software to drive new functionality, security features and enhance our ability to remotely manage the ATMs. While we did anticipate some downtime from the engineering we're doing on our ATMs, the software upgrade process has led to more downtime than we had planned. We discovered issues with the software after it was partially rolled out. So we had to turn it back, rectify the software and then get it back out into the field. This delayed the overall software and EMV upgrade efforts, and we're now tracking to complete the software and EMV upgrade in the third quarter of this year. This has a couple of implications. First, the elevated downtime impacted transaction volumes in the fourth quarter with some carryover into the first quarter. Our analysis suggests it had a 1 to 2 percentage point impact on our same-store volumes in the U.S. in the fourth quarter. The other consequence is that we will be exposed to higher operating cost, including the fraud liability shift on the MasterCard transactions on more ATMs for a longer period than we were expecting. And we have built all of this into our 2017 guidance. Second is regarding the integration of DCPayments. We're very pleased to have completed the DCPayments acquisition in early January. The integration process will be lengthier and more involved than other acquisitions we have done partly because of the sheer scale of the operation, but more so because DCP has effectively three distinct businesses at the operating level. That is North America, the United Kingdom, and Australia, New Zealand. Additionally, we're still in the midst of integrating the Cashcard acquisition in Australia that DCPayments made just prior to us announcing our acquisition of the company. Steve mentioned the CMA review in the UK and, accordingly, we will not commence integrating the UK businesses until the regulatory review by the CMA is complete. Regarding the 7-Eleven de-conversion, our agreement with 7-Eleven in the U.S. expires in July of this year, so July will be the trigger point for a couple of things. First, that is when we expect to begin de-installing the approximately 8,000 ATMs that we operate. We're currently assuming that the de-installations will occur ratably through the back half of the year. We continue to work with 7-Eleven and our new provider regarding the transition plan. In addition, the Allpoint and Citibank brands will come off of the terminals during the second half of the year. Fourth area is around the investment in the new business. Steve touched on our broader growth strategy earlier and, in support of this, we will be investing in the business. This includes new geographic markets, evolving and innovating our product set and helping banks manage their in-branch and out-of-branch ATM channels more effectively and efficiently. Our SG&A and CapEx estimates in 2017 incorporate these investments. And finally, regarding foreign exchange, on top the aforementioned items, we will have to content with what is shaping up to be a more dynamic FX and interest rate environment. For instance, foreign exchange alone would be a 4% headwind to our revenue growth rate in the first half of this year based on exchange rates that we're assuming in our guidance. Let's now quickly touch on the fourth quarter 2016 results before we get into guidance. Currency exchange rates did, once again, have a material impact on our results, so I will provide both reported and constant currency figures for our key measures. Q4 was a solid end to the year. Revenues of $310 million were up 2% year-over-year or 8% on constant currency basis. ATM operating revenues of $295 million were up 1% or 7% on a constant currency basis. Organic ATM revenue growth in the quarter was 3% on a constant currency basis. This is down from prior quarters. Same-store transaction and revenue growth in U.S. were both down about 2% for the quarter, which is lower than what we experienced earlier in 2016. The elevated downtime from the software upgrade issues referenced earlier as well as the EMV upgrades hurt both of these metrics, but these are transitory factors. Continued strong unit add performance in the UK drove 13% revenue growth in our Europe segment on a constant currency basis. Same-store transaction volume in the UK was slightly negative with same-store revenue growth just over 2% positive. Consolidated gross margin for the quarter was 35.5%. Gross margin in Europe grew by nearly 600 basis points, driven by strong operating leverage that we benefit from in the UK as a result of the vertically integrated business model. Our North America margin was down by 2 percentage points. This was driven by a combination of weaker-than-normal transaction performance and incremental cost related to the EMV and software upgrade efforts. Adjusted EBITDA was $77.5 million, up 6% from last year or 13% on a constant currency basis. SG&A was down from a year ago both on an absolute basis as well as on a percentage of revenue. Adjusted EPS was $0.79, up 11% or 20% up on a constant currency basis. Excluding the impact from the foreign currency translation, adjusted EPS would've been $0.06 higher. We benefited from lower interest on debt and a lower non-GAAP tax rate. One callout on tax, we reported an exceptionally low GAAP tax rate in the fourth quarter. This relates to the reversal of a reserve that we had on a deferred tax asset in the UK. With expectations for continued taxable income in that market, the reserve was no longer necessary. This gave us an $8.2 million one-time benefit on a GAAP basis. This was excluded from our adjusted earnings. Now, turning to the balance sheet, our Q4 balance sheet does not include the DCPayments acquisition as we completed it in early January. As announced previously, we did amend our credit facility to finance the transaction. We borrowed approximately $470 million under our expanded $600 million credit facility in early January. Net debt-to-adjusted EBITDA on a pro forma basis for the full year impact of DCPayments was approximately 2.6 times as of 12/31. Now, onto the 2017 guidance; let's first go through the guidance figures and then I will provide some color on the moving pieces. Consolidated revenues are forecasted to be $1.45 billion to $1.5 billion. We're planning on a USD to GBP rate of about $1.20 per pound. The impact of adverse foreign currency to revenue is approximately $44 million as compared to 2016. Gross margin is expected to be 33% to 34%. We are contending with several unhelpful factors in gross margin in 2017: the 7-Eleven de-conversion; DCPayments coming in at a lower margin; increased expense from the software upgrades; and EMV enablement in the U.S. The DC synergies do represent a go-forward opportunity, but one that will take some time to harvest. On adjusted EBITDA, we're expecting $325 million to $340 million. This includes absorbing approximately $13 million in FX impact as compared to 2016. On adjusted EPS, we're expecting $2.80 to $3. This includes absorbing approximately $0.11 of FX impact. We're expecting depreciation expense of $110 million to $112 million. This is up from last year due to the addition of DCPayments and fleet upgrades in late-2016 and early-2017. We anticipate 2017 capital expenditures to be between $140 million to $150 million. This includes the investment in the legacy business as well as DCPayments in addition to the incremental compliance-related spend of $20 million to $30 million. Cash interest expense guidance is $32 million to $35 million. We're expecting a non-GAAP tax rate of 28% to 29%. Cash taxes will be about $20 million to $25 million and all of this assumes status quo tax rates in our major jurisdictions. Free cash flow is expected to be in excess of $100 million, which can be used to de-lever and/or finance future growth. Now this guidance does not assume any material changes to the per transaction interchange rates that we receive. Now, let's review a little more detail on the planning assumptions regarding the de-conversion of the U.S. 7-Eleven ATM fleet. 7-Eleven accounted for about 18% of our revenues in 2016. We have previously said that the margin is higher than our corporate average and, in fact, it runs at approximately 45% incremental gross margin compared to our 2016 system average gross margin of 36%. Under the assumption that de-installations begin in July and are complete by the end the year, we are estimating a revenue loss of between $50 million to $70 million in 2017. Gross profit is expected to be negatively impacted by $30 million to $35 million. The 7-Eleven impact I just described does not include actions that we have taken and will take to mitigate the revenue and earnings impact. For example, we renewed our relationship with Citibank, which Steve referenced earlier. We're very proud to continue our long-term partnership with Citibank. Let me now move on to address the other layer that is included in the guidance, DCPayments. The best way to think about DCPayments at this juncture is to take their historical trailing 12 months of EBITDA results at today's exchange rates and gross it up by about $10 million to account for the Cashcard acquisition in Australia that is not a part of their filed historical financial statements. While there are some synergies baked into the guidance I gave you, the synergies phase in over the course of the year and we expect them to ramp-up in 2018. We're also very encouraged by DC's product set and like how they complement our FI strategy. Let me close off the guidance discussion by talking about the distribution of earnings across the four quarters. While we don't give quarterly guidance and not beginning to do so today, I wanted to offer some direction given all the crosscurrents in the year. The current view is that Q1 and Q4 will show the weakest year-over-year comparisons on adjusted earnings. In fact, Q1 earnings are at risk of being down slightly year-over-year because of a perfect storm of transitory headwinds. For starters, the UK pound is estimated to be 16% lower in the first quarter than it was one year ago. This FX headwind is expected to continue through the second quarter and then diminish as we anniversary Brexit. First quarter of last year is a tough comp because, if you recall, we were helped by the billion-dollar Powerball jackpot and an extra day due to leap year; each of which added about 1% of growth in the quarter. In addition, we are also down one weekend in this year's first quarter versus last year's. Next, we expect to continue experiencing elevated downtime in the first quarter from the previously mentioned new software issues in the field coupled with the elevated operating cost associated with EMV-related activity. And finally, just to top it off for Q1, in January, we had outages across a material portion of our fleet due to a PIN pad issue on certain NCR ATMs. This was a Y2K like equipment issue that impacted thousands of ATMs and numerous NCR customers. We believe this issue though is now behind us. These factors will offset contribution from the DCPayments acquisition in the first quarter. Fortunately, most of these factors start to abate in the second quarter. In the fourth quarter, we're expecting significant leakage of 7-Eleven revenue as we de-install. Adjusted EPS maybe down year-over-year because of the combined effect of the 7-Eleven ramp-down, higher debt outstanding and higher depreciation expense. The last thing I will mention is that we're embarking on a global reorganization and a restructuring initiative that will improve our cost structure and help us operate more efficiently. The initiative incorporates adjusting the cost base to reflect the loss of 7-Eleven as well as integrating the DCPayments acquisition. We anticipate that the initiative will result in annualized pre-tax savings of at least $35 million once complete. We will likely take a one-time charge in the first quarter as a result of this restructuring activity. These savings are in addition to the variable direct costs that will come down with the 7-Eleven de-conversion program. As promised, 2017 will be a year of significant transition and transformation at Cardtronics. One last piece of information I wanted to leave you with; we are working with the goal in mind that EBITDA in 2018 will surpass the 2016 performance of $319 million. With that, Steve, back to you.
Steven A. Rathgaber - Cardtronics plc: Thank you, Ed. Cardtronics has a very simple and focused vision: to be the secure ATM network of choice in every neighborhood and for every business around the world. Our mission is equally simple: providing consumers and businesses with convenient reliable access to cash when they need it. No company is as well-suited as Cardtronics to deliver on these concepts. Cardtronics will meet the challenge of the 7-Eleven migration and come out a stronger, leaner, more efficient, and more capable company. I strongly believe that we are a company in the right place and at the right time. Declining cash usage at a modest pace is an ideal environment for us. It means banks should partner with us instead of investing in their own infrastructure. Banks transitioning to digital strategies and away from branches creates opportunities for us. We can help banks save money, provide more convenient ATM access, and let them focus on their strategic differentiators. The retailer looking for food traffic in their stores is an ideal customer for us. Our ATMs and our Allpoint Network can help that retailer. And the consumer who is pressed for time and in need of convenience and cash is the ideal customer for us. This month marks the completion of my seventh year at Cardtronics. 28 quarters have come and gone. In 26 of these 28 quarters, the team has delivered double-digit adjusted EPS growth for the benefit of our shareholders. For the last six consecutive years, Cardtronics has delivered double-digit ATM operating revenue growth. I am proud of that history and of the team that has delivered it. But, in all my time at Cardtronics, the thing that has surprised me the most is not the performance that we've achieved to date, rather it is the ever-growing potential of this business. I am bullish on the future growth potential of this company. The secular trends in banking and payments favor Cardtronics. We look forward to leveraging those trends to provide outperforming shareholder value. Now, as is typical of my comments on the year-end call, I would just like to take a moment to acknowledge the exceptional team that year-in and year-out continues to deliver the value to our clients and our shareholders. As always, I thank them for their service and commitment to our company. Team, you do great work. Thank you. With that, operator, I'd be happy to open it up for any questions.
Operator: Thank you. And our first question comes from the line of Ramsey El-Assal from Jefferies. Your line is open.
Ramsey El-Assal - Jefferies LLC: Hi, guys. Wow, a lot going on. I'm not sure where to begin. The mitigation strategies you talk about at 7-Eleven, I mean, is there any way you can help us think through those in a little more detail now that it's kind of upon us? And also, I'd add, it appears like the Citi relationship that you sort of expanded recently, which I think Ed mentioned is not included in numbers already, would imply that there's some potential incremental contribution there that's coming, independent of whether it's in guidance or not. Is that – I guess those are two separate things in there, but if you could address that, it would be great.
Edward H. West - Cardtronics Plc: Good afternoon. There is a lot going on. And then, so speaking more specifically to the 7-Eleven, so what we thought was important is to outline what we've talked about before. 7-Eleven represented about 18% of the consolidated revenues and speak to the incremental contribution margin. So that's the total impact as you think about the relationship. That said, there are activities going on to mitigate some of that. One of those is most notably and currently is the working and signing with Citibank and extending our relationship there. That is outside of that number and incorporated into our overall guidance. So those dollars are now recaptured into our guidance separately. Separately, we would expect the variable costs associated with that relationship to come down as revenues come down. And that's roughly, if you look at the math that we talked about, that would be about $120 million. Now, those do not come down linearly – in a linearly fashion. They do phase to some degree, but they will all come out. In addition, we're working on the cost programs that I mentioned, cost from both an operational standpoint as well as an overhead standpoint, where we would expect a run rate of those savings and efficiencies and implementations to benefit about $35 million. Again, that $35 million is separate from the 7-Eleven and some of that is in the guidance for this year, but not the full year annualized benefit. I think one last element I would speak to also, as we mentioned during the second half of the year, Allpoint will come off of the terminals with 7-Eleven. And so there are a lot of transactions and I would say those transactions are in the tens of millions of transactions. We would anticipate and work to the best extent of our ability to recapture a fair amount of that and working with our key retailers, having very attractive locations for those retailers, for those transactions to be realized.
Ramsey El-Assal - Jefferies LLC: Okay. On the competitive reviews of these pieces of the DCPayments deal, is there any kind of risk adjustment in your guidance that would contemplate any actions there by the regulators to prevent you from integrating this and then getting on with it? Or is it – would that be a – would any potential rulings on that side basically have to come out of numbers?
Steven A. Rathgaber - Cardtronics plc: Ramsey, this is Steve. I would say that any rulings would have to come out of numbers, but from everything we've looked at, the expectations are pretty solid around the fact that these things should move through pretty standardly. If there are adjustments, they would tend to be very minor and have to do with possibly some locations or something like that. So I think there's nothing in guidance that deals with any adjustments is what I would say in a direct answer to your question, but we are cautiously optimistic that we're in pretty good shape.
Ramsey El-Assal - Jefferies LLC: Okay. And then just lastly from me, can you talk about the de-installation process in a particular store with 7-Eleven? This is not just you removing a machine, is this you coordinating with the other team to get their machine put in as yours comes out? I guess I'm just trying to get the better understanding of how feasible it is to move out 8,000 machines in four months. It just seems to be like a pretty – to me to be a pretty herculean task, one that may lead into 2018. Any commentary there would be appreciated.
Edward H. West - Cardtronics Plc: Sure. Well, as we mentioned, the agreement terminates at the end of July. And then, for planning purposes, with our guidance here has is just a ratable de-installation through the end of year. Now, we'll continue to work with 7-Eleven and working with their provider to schedule that out. And you're absolutely right, it's a lot of coordination and we will work closely with them and support that as much as possible with as limited customer implications as possible. So it will be highly coordinated and, from our standpoint, to the greatest extent possible. And those plans are still being ironed out and worked on with both organizations.
Ramsey El-Assal - Jefferies LLC: Okay. Fair enough. Thanks for taking my questions.
Steven A. Rathgaber - Cardtronics plc: Thank you.
Operator: Thank you. And our next question comes from the line of Andrew Jeffrey from SunTrust. Your line is open.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Hi, guys. Good afternoon.
Steven A. Rathgaber - Cardtronics plc: Hello, Andrew.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Not as nasty as weather in the Northeast today, I guess. Good thing you're in Houston.
Steven A. Rathgaber - Cardtronics plc: Indeed. Sun always shines in Houston.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Could you perhaps, when we think about sort of the magnitude of disruption to your business in 2017, may be rank order or try to frame up how much is 7-Eleven versus how much is some of the EMV disruption, which we kind of had a sense had the possibility to be messy, but it's maybe a little messier than we thought?
Steven A. Rathgaber - Cardtronics plc: Well, it's a tough question to answer. It's like life sometimes; it just gets full of a lot of moving parts. Certainly, the EMV disruption is material for us in the fourth quarter of 2016 and the first quarter of 2017. There is no doubt about that. I expect it to be inconsequential in the fourth quarter of 2017. Maybe some remaining carryover of some charge-backs, but doubtful, I think, will be done well before then. So that's certainly a transitory as Ed has used the word to describe it event. The 7-Eleven activity is more about supporting their de-conversion. It will certainly occupy resource in the back half of the year. But it's less impactful to our day-to-day growth of the business, but very impactful to the numbers, obviously, this year. So it's – I don't point to any particular thing. Certainly, the DCPayments acquisition and integration is an impactful but a wonderful opportunity. We see growth potential in that business because we're engaging with the business that has had a culture more of maintenance than growth. And we're just bringing a different mindset to the countries that they're operating in. So I see that as – the integration of that activity and turning it into a growth culture as certainly an important activity in the year, but that's a happy activity versus the other two. So I have no idea if I'm helping you, Andrew, but some feedback to your question.
Edward H. West - Cardtronics Plc: Andrew, I would just add onto that. From a financial standpoint, which is probably how you're looking at it, obviously, 7-Eleven represents the larger, more impactful for 2017. As I mentioned on the software issue that had the downstream impact of impacting the EMV implementation, we size that going through the analysis and looking at part of the estate that had and didn't have the software and it was roughly a 1 to 2 percentage point impact to transactions that we saw on the fourth quarter. So we expect some of that to continue in the first quarter. But getting our hands around that and that will pass as will the cost associated with the EMV, the maintenance visits as well as some of the charge-backs. That will get behind us. But 7-Eleven is the larger implication.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Okay. That's helpful actually. And just as we think about your business, which is really sort of level-setting, I think, in a lot of ways in 2017, can you help us understand what the growth profile of Cardtronics is long term, sort of top and bottom line, and how you get there? And I'm getting it organically, growth in machines, growth in transactions, growth in transaction yield and margin, just trying to understand what this business looks like on the other side.
Steven A. Rathgaber - Cardtronics plc: Yeah. So let me take a swing at that, Andrew. So I've consistently been a proponent of an organic growth rate in the 6% to 8% range. And I've described to you during my comments, not all organic, but between organic and acquisition, a double-digit growth history over the last six consecutive years. We want that to continue. And the beauty of the Cardtronics model has historically been the different levers we have to pull to pull together a growth profile that is attractive for our shareholders. So, we see opportunities to place retail locations in a lot of our new markets. We're particularly excited about some of our European countries like Spain. We're particularly excited about South Africa. We think there's great growth prospect down there and, as we delivered just this past year, another 3,400 new placements. We expect to continue to do that kind of new placement add for the foreseeable future. Those kinds of numbers are certainly in our 2017 guidance and we expect that to continue. We also expect to layer in on top of that a good classic Allpoint growth. We now have three consecutive quarters where we're bringing in top 25 institutions into the network. And we think that's a new day and we think that day is just dawning and we're in the early innings. We've now got the very largest of financial institutions with Citibank and, obviously, historically have had many of the smaller sized finance institutions in the Allpoint Network. But that's still only 1,300 or 1,400 finance institutions out of thousands and thousands. So we see nothing but upside growth there. We think all banks belong in Allpoint and we think the secular trends favor more joining in the future. We think that we're in the very early innings of the growth stages of our FI services where we move in-branch and provide new revenue stream that we've never had before. We had an example of that with PenFed last year, cited several examples in my comments about other relationships that our acquisitions have. Spark ATM in South Africa is already doing a relationship like this and they see more opportunities in South Africa. We've already picked up the Bank of Queensland in Australia and see more opportunities down there to take that kind of relationship beyond the Bank of Queensland. I talked about in Canada that range of opportunities with credit unions. That's new muscle for us, product capability that we can grow. So it continues to be the Cardtronics formula of classic organic growth from new placements, Allpoint growth, the transaction growth that will come from more Allpoint members on our existing ATMs and the new services that we're in a position to offer to finance institutions. And then we'll continue to shop appropriately and carefully for the acquisitions that we have, I think, an excellent track record of delivering the value that we pay for them, delivering on that for our shareholders. So the Cardtronics formula remains very much intact and the record we described over the last six and seven years is the record we want to maintain for the future. There is no change in our outlook. It's why I remain bullish. This year was a complicated year. But we go forward with big appetites and big ambitions.
Andrew Jeffrey - SunTrust Robinson Humphrey, Inc.: Okay. I will jump back into the queue. Thank you.
Steven A. Rathgaber - Cardtronics plc: Thank you.
Operator: Thank you. And our next question comes from the line of Bob Napoli from William Blair. Your line is open.
Robert Paul Napoli - William Blair & Co. LLC: Hi, good afternoon.
Steven A. Rathgaber - Cardtronics plc: Hey, Bob.
Robert Paul Napoli - William Blair & Co. LLC: So, I guess, when you talk about 2018 EBITDA being above 2016, do you expect it to be comfortably above 2016? I would expect that you have no 7-Eleven in that 2018 number. You have the synergies from – you would expect synergies from DCPayments, there's $35 million of expense saves, do you expect to be – can you give some idea of magnitude you believe you could get to above 2016?
Edward H. West - Cardtronics Plc: Sure. Hey, Bob, it's Ed. Good afternoon. So one of the reasons why we put that out there as a goal, obviously, we're not guidance on 2018, and I think to some degree, it parlays into Andrew's question on the previous, which is why we thought it was important to put it out there just to provide a little sizing and context, because now that we're sized where we are on 7-Eleven, obviously, with the 45% incremental margin off of 18% of revenues, there is the reduction. We talked about DC on their trailing 12 months EBITDA of adding that back in, into their – kind of what are we left with. And then, we have the cost initiative. You would add that $35 million back in for 2018. That's where you start. And now, we're adding organic growth and other growth initiatives on top of that. And that's where we feel like, at a minimum, we should have that as a goal to exceed that level. I don't want get into color on how much to exceed, but I think if you walk through the math about the goes-ins and goes-outs there to that figure, you will see why that's where we're focused.
Steven A. Rathgaber - Cardtronics plc: I think the other – obviously, from where we are now, obviously, foreign exchange plays with all of that. I mentioned what the impact is there, but those rates obviously can change.
Robert Paul Napoli - William Blair & Co. LLC: Okay. The $35 million expense saves, can you give a little more color on where that's coming from? And that is exclusive of synergies you would expect to get once you fully integrate DCPayments?
Steven A. Rathgaber - Cardtronics plc: Yeah. That's correct. So the DC was separate. And again, there's a long fuse on those to harvest that benefit. Obviously, we're not doing any integration in the United Kingdom right now because of the review, but would anticipate some there. So, that's an opportunity moving forward, I think, we'll see more of in 2018 than 2017. And separately, the $35 million is actually up and down the P&L. It's in both the direct as well as the overhead areas. Frankly, how we're delivering our services, integrating those, we've gone through a global reorganization, bringing folks together where we can have a single approach to it versus multiple approaches around the world where we can manage things centrally, fewer layers across the organization. The company has done a great job historically of many acquisitions around the world, around the organization, even within the U.S. This is a year of really focusing also now of integrating a lot of these capabilities and skills and leveraging that across the business. So we would see these savings in both the direct as well as overhead areas.
Robert Paul Napoli - William Blair & Co. LLC: Then last question, just where do you see the biggest risk factors in these outlooks? Is it the outcome of the LINK network and when you would expect that? Or do you get the approval for the UK to purchase the DCPayments business in the UK? Where are the biggest risk factors, the execution of the $35 million, what are you most concerned about and some of these are out of your control, some are in your control?
Steven A. Rathgaber - Cardtronics plc: Yeah, I guess a great question, Bob, and a challenging one to answer. Obviously, the ones in our control, we feel good about and we'll manage through because that's what we do. The ones that are out of our control are always more unnerving. But you look at the LINK issue, and you've got a system over there that works extremely well, providing great value of free access to consumers. If we're talking about changes, we're talking about changes on the margin, we're not talking about anything material, so I don't – I can't call that a huge risk, but it's certainly a risk. And until we know its outcome, it has to stay out there. But it's a blend, quite frankly, it's the portfolio of change, that's what makes this year so challenging. But I don't think any singular risk is particularly monumental to us. It's the collection and navigating through this year of transition that is the risk, if you will.
Robert Paul Napoli - William Blair & Co. LLC: Great. Thank you. Appreciate it.
Steven A. Rathgaber - Cardtronics plc: Thanks, Bob.
Operator: Thank you. Our next question comes from the line of Reggie Smith from JPMorgan. Your line is open.
Steven A. Rathgaber - Cardtronics plc: Reggie? Hello? Operator -
Reginald Lawrence Smith - JPMorgan Securities LLC: I'm sorry. Can you hear me?
Steven A. Rathgaber - Cardtronics plc: We can now.
Reginald Lawrence Smith - JPMorgan Securities LLC: I had the mute button on. I'm sorry. I guess my first – I appreciate the color on the 7-Eleven contract. It's nice to finally get that out in the open. I guess my first question is about the $35 million in savings and how we should think about – I guess it sounds like some of that would occur above the gross margin line. And so you gave us kind of 45% margins on that contract. How should we think about the split between what happens above gross margin and what happens kind of below, because I guess it's a little confusing given the two different, I guess, metrics there?
Edward H. West - Cardtronics Plc: Sure. Well, good afternoon, Reggie. It's Ed. And it's two distinct matters as well. The 45%, again, is trying to frame the incremental contribution margin from the relationship and the extent with the U.S. business of 7-Eleven and what we experienced in 2016. Pertaining to the $35 million, that's captured of what we expect to realize on that in 2017, is captured in the guidance. And that guidance, when we speak to the gross margin, some of that's reflected in there in the direct cost as well as overall EBITDA. And it is spread between direct and the SG&A, as I mentioned earlier.
Reginald Lawrence Smith - JPMorgan Securities LLC: Okay, got it. I guess you guys kind of alluded to this when you talked about EBITDA in 2018, but I guess curious, how are you guys thinking about your leverage ratio pro forma for everything that's happened? DCPayments coming on, 7-Eleven going off; what does that leave you with as far as capacity to do additional deals?
Edward H. West - Cardtronics Plc: Well, from a leverage standpoint, as I mentioned in the comments, the leverage as of 12/31 on a pro forma basis, so looking at where we were this past year, adding on DC and adding on the debt, what we have is roughly 2.6 times. We expect, as I mentioned in the guidance, to generate in excess of $100 million of free cash flow, which we can use that to either make other acquisitions if we saw things that were very valuable, value creative, additive to the business and were very compelled on. But I would say the bias without seeing something that represents extraordinary value, right now is focusing on integration, building the infrastructure, executing on everything that we outlined in deleveraging, and continue to pay down debt. From a capacity standpoint, feel good about we have excellent relationships with our financial institutions with the market and have a consistent track record of delivering and delivering free cash flow. And we expanded the revolver on the capacity on this, so I feel good about the position there.
Reginald Lawrence Smith - JPMorgan Securities LLC: Got it. And if I could sneak one more in, I guess, thinking about the 7-Eleven devices and the ability to kind of redeploy them elsewhere, is that a part of the strategy? And then two, I guess, the thinking about upgrading your entire U.S. fleet for EMV, just curious like how much fraud do you see within a debit card where you have to enter a PIN number? It would seem that there's not a whole lot of counterfeit fraud in that realm without somebody also having the PIN number associated with that account. So it sounds like you guys are more interested in upgrading to EMV now, just curious the logic behind that.
Edward H. West - Cardtronics Plc: Well, the EMV is obviously – it's the liability shift. It's not a mandate, what's mandated is the shift of the liability from the issuing institutions to the acquirers and it was in two phases. First phase with MasterCard this past October and Visa would be next October. When you look at the amount of cards and volume, it's more substantial with Visa. The company, as I mentioned earlier, obviously, there is fraud out there from that. We didn't have visibility to that historically. But it's prudent and we operate in EMV and many other parts around the world and we'll do that here. But because we have to touch each of the machines and implementing software, sometimes putting in the readers to handle the EMV readers, wanted to make sure as we touch it, trying to touch it one-time, which is why the company had the plan of loading many different software upgrades to the terminal to allow for that additional functionality that I mentioned earlier in addition to additional security enhancements and the ability to manage the terminal remotely. So there's more to it than just the EMV.
Reginald Lawrence Smith - JPMorgan Securities LLC: Got it. Okay. Thank you.
Steven A. Rathgaber - Cardtronics plc: Thank you.
Phillip Chin - Cardtronics plc: Go ahead operator.
Operator: I'm showing no further questions at this time.
Phillip Chin - Cardtronics plc: Then we will say thank you to all of you for your interest in Cardtronics and have a great day.
Steven A. Rathgaber - Cardtronics plc: Thank you.